Operator: Good morning. My name is Steve, and I will be your conference operator today. At this time, I would like to welcome everyone to the Humana Fourth Quarter 2010 Earnings Release Conference Call. [Operator Instructions] I'll now turn the call over to Regina Nethery, Vice President of Investor Relations. Please go ahead.
Regina Nethery: Good morning, and thank you for joining us. In a moment, Mike McCallister, Humana's Chairman of the Board and Chief Executive Officer; and Jim Bloem, Senior Vice President and Chief Financial Officer, will briefly discuss highlights from our fourth quarter 2010 and full year 2010 results, as well as comment on our earnings outlook for 2011. Following these prepared remarks, we will open up the lines for a question-and-answer session with industry analysts. Joining Mike and Jim for the Q&A session will be Jim Murray, our Chief Operating Officer; and Chris Todoroff, Senior Vice President and General Counsel. We encourage the investing public and media to listen in to both management's prepared remarks and the related Q&A with analysts. This call is being recorded for replay purposes. That replay will be available on the Investor Relations page of Humana's website, humana.com, later today. This call is also being simulcast via the Internet along with a virtual slide presentation. For those of you who have company firewall issues and cannot access the live presentation, an Adobe version of the slides has been posted to the Investor Relations section of Humana's website. Before we begin our discussion, I need to cover a few other items. First, our cautionary statement. Certain of the matters discussed in this conference call are forward looking and involve a number of risks and uncertainties. Actual results could differ materially. Investors are advised to read the detailed risk factors discussed in this morning's press release, as well as in our filings with the Securities and Exchange Commission. Today's press release, our historical financial news releases and our filings with the SEC are all available on Humana's Investor Relations website. Finally, any references made to earnings per share or EPS in this morning's call refer to diluted earnings per common share. With that, I'll turn the call over to Mike McCallister.
Michael McCallister: Good morning, everyone, and thank you for joining us. Today, Humana announced fourth quarter earnings of $0.63 per share, in line with our most recent guidance. Our underlying operating results were very strong during the quarter. Excluding the $1.02 per share in incremental fourth quarter expenses highlighted in this morning's press release, this quarter results were actually up compared to the fourth quarter of 2009. Our full year 2010 earnings per share of $6.47, in line with our previous guidance, reflects the strength of our businesses and was driven by our Medicare membership growth, our disciplined pricing, continued focus on our 15 percent Solution, our administrative cost reduction initiatives and the benefit of unusually low medical cost trends. The fourth quarter expenses that were not included in our prior guidance were the strengthening of our long-term Care reserves, the contribution to The Humana Foundation and transaction costs associated with our acquisition of Concentra in December. Additionally, the quarter included incremental investment spending for the 2011 Medicare enrollment season that we have discussed in previous calls. Jim Bloem will provide more color around each of these items in his remarks. In the just-completed Medicare enrollment season, our net sales for both Medicare Advantage and standalone PDP offerings were better than we had previously projected, and our commercial operations continue to improve as well. Accordingly, we have raised our 2011 EPS guidance this morning to a range of $5.70 to $5.90 from our previous range of $5.45 to $5.65. My remarks today will focus primarily on the 2011 Medicare open enrollment season, our continued progress in improving seniors' health outcomes through our Medicare clinical initiatives and our strategic acquisition of Concentra at the end of 2010. But first, I'll briefly touch on the topic of interest to many of you, the risk adjustment data validation or RADV Medicare audits. Just this past week, CMS issued a statement that it was thoroughly evaluating all comments received on its proposed methodology, and based on that input, it anticipates making changes before issuing the final RADV audit methodology. As we noted in our comment later to them on this matter, we believe the proposed methodology is incorrect. We hope CMS' statement is indicative of substantive changes forthcoming to ensure Medicare Advantage payment models are actually sound. A lack of substantive changes to the proposed methodology would, we believe, jeopardize the program itself and disrupt coverage for the 12 million seniors in Medicare Advantage Plans across the nation. For their part, seniors continue to depend on the value proposition our Medicare plans offer, as evidenced by our recent sales results. Starting with Medicare Advantage, while we had previously projected 2011 to grow by 60,000 to 65,000 net new members, we now estimate net growth of 90,000 to 110,000 members. Both gross sales and member retention exceeded our expectations. By developing robust networks in multiple areas of the country over the past few years, we made it possible for many of our Private Fee-for-Service members to transition automatically and seamlessly to network-based products. Further, for the 115,000 Humana Private Fee-for-Service members who needed to actively enroll in an HMO or PPO offering for 2011, we experienced a higher-than-forecast number who chose network offerings during the 2011 enrollment season. As for standalone PDP offerings, our innovative Humana-Walmart Plan drew a great deal of interest and sales significantly exceeded our expectations. We’ve recently evaluated the geographic distribution of the membership in this nationwide premium plan, as well as pharmacy claims dated through first month of the year. These are in line with our expectations for the Humana-Walmart offering. Gross PDP sales, particularly for the Humana-Walmart Plan, together with an increase in auto assigned membership resulted in us raising guidance for standalone PDP membership growth to a range of 525,000 to 575,000 net new members during 2011 versus our previous guidance of an increase of 325,000 to 375,000. It should be noted that our Medicare sales results were achieved against the background of our annual Medicare margin reset overall. As in the past, we believe it to be prudent policy to target a 5% margin, longer term. Hence, to the extent we exceed our longer-term goal, we in turn pass that incremental margin back to our Medicare members in the form of lower premiums and/or richer benefits. Just as importantly, we will continue to strive diligently in the interest of our members to improve outcomes while lowering costs for them, for the company and for the country. It's no exaggeration to say for the country, whatever else it might have done or will do, last year’s health insurance reform debate put the spotlight on the fact that the nation's rising health care costs, especially in Medicare, and the growing incidence of expensive and largely preventable chronic diseases such as diabetes, is unsustainable. Unless consumers are engaged in their health and most companies like ours with a track record of success and consumer engagement continue to offer attractive programs that make healthy things fun and fun things healthy and at lower costs, the crisis will soon be upon us. We're doing what we can to mitigate such a crisis and for our own members seeing very good results. On the most basic level, favorable comparisons versus traditional Fee-for-Service Medicare and such important measures as hospital admissions, readmissions and emergency reviews, which I've shared with you the past, are the result of an integrated program of member- and physician-focused services that simply does not exist in original Medicare. We believe that the consequence is better health outcomes and quality life for our members along with lower costs compared with seniors in traditional Medicare. The program begins with health risk assessments of new members and follows that up, where warranted, with proactive outreach for clinical guidance. This outreach can be in the form of personal nurses, disease management programs, integrated medical and behavioral health and/or hands on assistance with feeding, bathing and other key components of daily living. There are also a wide variety of healthy living, healthy eating options available to members including the SilverSneakers fitness program, Well Dine for nutrition, health and wellness classes and a variety of plan-based and community-based support services for our most at-risk members through Humana Cares. As it evolves, our clinical program is increasingly aligned with CMS' star rating system in anticipation of coming changes in the Medicare Advantage revenue model. Such alignment has already yielding progress. From 2010 to 2011, Humana's star rating summary score improved from 2.74 to 3.1 stars, a 13.1% increase. For the 30 Humana plans rated in both years, 17 plans improved their star ratings decrease, 13 remained constant and none experienced a decrease. As you probably know, star ratings are comprised of service metrics, as well as clinical ones. To give you a sense of the progress we're making on the clinical side, certain clinical measures such as rheumatoid arthritis management and controlling blood pressure Improved by at least 15% year-over-year. It's worth noting that for every star measure, Humana tracks data on which members are compliant and which are not and follows that up with a focused outreach effort. Last year in our Florida HMO, for example, we conducted more than 9,000 colon cancer screenings, 5,000 glaucoma screenings and 2,000 kidney function tests for diabetics after analyzing member compliance data. Once again, in comparison, none of this proactive health support is available to members of traditional Medicare. Looking ahead, we anticipate further improvements in star ratings through the implementation later this year of automated personalized member messaging. Clinical standards will enable us to identify Medicare Advantage members who could benefit from our programs according to evidence-based care guidelines and will customize messaging through a variety of channels, telephonic, electronic and one-to-one conversations with clinical experts. Beyond Medicare, making a difference to the level of individual health is one of the reasons we acquired Concentra late last year. As I've said on several recent calls, Humana is progressively expanding its strategy to embrace the concept of lifelong well-being. The Concentra model is a good stepping-stone in this overall strategy. Through its affiliated clinicians, Concentra delivers occupational medicine, urgent care, physical therapy and wellness services to workers and the general public for more than 300 medical centers in 42 states. The geographic fit with Humana is ideal, nearly 3 million Humana medical members live near a Concentra Center. Concentra is the respected market leader, with more than 14% of work-related injuries in the U.S. treated at a Concentra center, and it has relationships for formal accounts with more than 100,000 employers. We expect Concentra to support our Commercial business immediately while we simultaneously proceed with plans to expand the availability of these services to our Medicare members, all while being accretive to our 2011 financial results. We will continue to look for acquisition opportunities like Concentra as part of evaluating the most prudent near-term use of capital to ensure long term value appreciation for our shareholders. In summary, Humana completed in the fourth quarter a very solid 2010, which we believe positions us well for 2011. The 2011 Medicare selling season in November and December surpassed our expectations, and we continued to advance our ability to improve the quality of life and health outcomes of our members while achieving ever-higher value for money in the Medicare program. With that, I'll turn the call over to Jim Bloem.
James Bloem: Thanks, Mike, and good morning, everyone. I'd like to begin by summarizing our 2010 financial performance, followed by a discussion of today's increase in our full year 2011 earnings per share guidance range. As indicated on the slide, our 2010 earnings per share of $6.47 came within our previous guidance range of $6.40 to $6.50. However, the $6.47 per share includes four noteworthy items, which arose since the time of our Investor Day on November 18. Since three out of the four were unusual expenses, we are pleased with our fourth quarter operating performance. Let's quickly review the four post-November 18 items in order of their size. First, as discussed in this morning's press release, we strengthened the reserves for our closed block of long-term Care policies in the amount of $138.9 million or $0.52 per share. This block of 35,000 policies was acquired in connection with our acquisition of KMG America in late 2007. No policies in this block have been sold since 2005. This reserve strengthening occurred as part of our annual year-end review of these long-duration liabilities. In this year's review, we revised our original acquisition assumptions with respect to three things. First, the amount and frequency of regulatory allowed premium rate increases; second, annual claims and claims management expense levels; and third, expected rates of investment returns over the 30-plus year expected life of these liabilities. These revised assumptions were based on our experience over the last three years with respect to premiums and expenses, as well as the current outlook for long-term interest rates. Second, on the positive side, we experienced greater-than-anticipated favorable development of prior year's medical claims in the amount of $37.8 million or $0.14 per share during the quarter. This brought the full year benefit of better-than-expected prior year's medical claims development to $231.2 million or $0.86 per share. Finally, we incurred two other significant expenses during the quarter that were not included in our previous guidance of November 18: First, a $35 million or $0.13 per share contribution to The Humana Foundation; and second, $15 million or $0.08 per share of transactions costs associated with the closing of the Concentra acquisition. With respect to The Humana Foundation, we believe the company's philanthropic efforts are an important part of its mission. We've not been able to make a contribution of this scale since at least the year 2000, and we were pleased to be afforded that opportunity during the fourth quarter. Our remaining fourth quarter results of $165 million pretax or $0.61 per share compares favorably with our previous guidance. This better-than-expected operating performance consisted of approximately $90 million from the Commercial segment and $75 million from our Government segment. With respect to our Commercial segment operations, we continue to benefit from the unusually low medical cost trends experienced by the entire health insurance sector during 2010. Of the $90 million of commercial operating over performance in the fourth quarter, a little less than 1/3 was favorable development from the first nine months of the year, with most of the remainder reflected in the continuing run rate cost trend improvement. Our Government segment operations benefited from another strong quarter of performance in our MAPD business, primarily driven by cost trend improvements arising out of a continued success of our 15 percent Solution. Turning now to full year Government segment results. Our 2010 Government segment pretax income increased by approximately $150 million versus 2009. As noted on the slide, there are four items that are included in this $150 million net improvement. First, we benefited in the Government segment from $182.4 million of greater-than-anticipated prior year's favorable medical claims development in 2010. Second, we incurred about $77 million of additional SG&A expenses associated with the Humana-Walmart PDP Plan launch, which was $40 million, and with the change in the 2011 Medicare Advantage enrollment period which was $37 million. With respect to the Medicare enrollment season, 2010 was unique in that we incurred first quarter marketing and selling expenses associated with the 2010 enrollment season and then also absorbed what we would normally have spent in the first quarter of 2011 into the fourth quarter of 2010 because of the mandated shortening of the enrollment period for 2011. Third, the portion of The Humana Foundation contribution that was attributable to the Government segment was $26 million. Finally then, the remaining pretax improvement of approximately $70 million results primarily from the growth of our Medicare Advantage membership, our SG&A cost efficiencies and the benefits of scale that come with being a larger competitor. You will recall that we discussed on Investor Day that we reset our overall Medicare pretax margin to 5% for 2011 and continued to pursue the beneficial effects related to the 15 percent Solution. We also continue to expect to record between $50 million and $75 million of charges in the fourth quarter of 2011 related to the assumed termination of the current TRICARE contract on March 31, 2012. Approximately $50 million of these charges relate to goodwill, and the remainder relate to the transition of the contract. These are the same assumptions that we originally used with respect to 2010. Moving on to our full year 2010 Commercial segment results. While we benefited from much lower-than-expected medical cost trends as well as some greater-than-expected favorable development of prior year's medical claims, we also incurred some significant expense items. Most notably, the new Health Insurance Reform Law mandated $147.5 million write-down of deferred acquisition costs on our individual major medical block of business in the second quarter, as well as the previously described long-term care reserve strengthening during the fourth quarter. With respect to the medical cost trends, for pricing purposes, we've assumed a return to historical levels for 2011, which is reflected in our guidance for this year. Turning next to our 2011 earnings per share update. We've raised our full year earnings per share of guidance by $0.25 to reflect the impact of two items. First, higher membership in both our Medicare Advantage and standalone PDPs. This increase in membership Medicare represents about $0.15 per share. Second, we are reflecting some of the 2010 lower commercial medical cost trends, which will result in a lower medical cost base which will benefit 2011. This $0.10 per share increase primarily relates to our Large Group business, which is much less encumbered by the new health insurance reform minimums for medical loss ratios than our Small Group and Individual blocks of business. Accordingly, we have also increased our 2011 Commercial segment pretax income forecast by approximately $50 million to reflect this large group cost trend improvement, as well as the inclusion of Concentra's expected accretion of $0.10 per share, announced at the time of its acquisition in December. Moving next to selling, general and administrative costs. We expect that our solid progress in 2010 will continue into 2011. As mentioned in our third quarter earnings conference call, we achieved our $100 million of cost savings in 2010 and have entered 2011 with $200 million run rate savings goal that we set for ourselves at this time last year. Our cross-functional administrative costs committee has developed processes which assure that these administrative cost reduction efforts are not just onetime events, but rather an ongoing source of both improved cost competitiveness and savings-funded initiatives, which allow us to continue to transform Humana to both meet the requirements of health insurance reform and also to implement the corporate strategy we outlined in detail on Investor Day. Our current 2011 SG&A ratio forecast, which includes all Concentra expenses, shows how we expect the payback of our cost reduction and savings reinvestments to lower our core administrative expenses, as represented by the blue bar on the slide. Turning next now to our expected 2011 quarterly earnings pattern. This slide shows the timing of the major items that we expect will impact our earnings from quarter-to-quarter this year. These items include our annually discussed seasonality factors such as, for example, the quarterly effects of our PDP benefit designs and the ongoing migration of our commercial membership into high deductible health plans. The only change in this slide from last year is the elimination of the Medicare selling season for the early part of the year. As previously discussed, this elimination results in the concentration of our Medicare marketing and selling expenses for the entire 2012 selling season into the fourth quarter of 2011. Thus, other than the timing of the expenses associated with the fourth quarter Medicare selling season, we do not anticipate any significant 2011 differences from our 2010 quarterly earnings pattern. Accordingly, our first quarter 2011 earnings per share guidance range of $1.15 per share to $1.20 per share is approximately 20% of our current full year EPS guidance range, which is consistent with each of the last two years. Turning last to operating cash flows and capital deployment. Our capital deployment efforts remain focused on effectiveness building capital expenditures, potential acquisitions and strategic investments, as well as continuing to repurchase our shares. Based on record 2010 operating cash flows, we were able to do all three to an increasing extent in 2010 versus 2009, as outlined in this morning's press release. Our 2011 guidance range for operating cash flows was increased by $200 million today to reflect the increase in our Medicare membership, the improved Commercial segment pretax outlook and the Concentra acquisition. This morning's increases in our 2011 guidance points for capital expenditures as well as depreciation and amortization expenses primarily are due to the inclusion of the 2011 Concentra capital budget and asset ledgers, respectively. As we move further into 2011, we continue to believe that having and conserving ample capital and liquidity provides us with the financial flexibility needed to compete effectively in a new environment as it continues to unfold. So to conclude, we're pleased with our financial and operating results for both the fourth quarter and for the full year 2010. Our increased 2011 full year earnings guidance range of $5.70 to $5.90 per share reflects our organizational competence and confidence, as well as our disciplined and intentional approach to the current operating environment. With that, we'll open the phone lines for questions. We request that each caller only ask two questions in fairness to those still waiting in the queue. Operator, will you please introduce the first caller?
Operator: [Operator Instructions] And your first question comes from the line of Josh Raskin from Barclays.
Joshua Raskin - Barclays Capital: I guess, Jim, just staying on that line of reasoning on the 2011 guidance, I guess your 2010 was, I guess, basically in line with your estimates from a couple of months ago, but that included $0.52 from the reserve boost for the long-term Care and then the foundation of $0.13 and Concentra of $0.08. And I guess, even if you took out the favorable development of $0.14, I'm still getting a net improvement of $0.59. So I guess, I'm looking at guidance up $0.25, but then the core operating in the fourth quarter alone is $0.59. I'm just curious, what's the disconnect? Were there fundamental -- was it just some of the upside can't come back next year because of MLR minimums on the commercial side? Or what’s sort of the difference there?
James Bloem: There's two principal differences, and again, this is sort of what we talked about on Investor Day, too, so it's a good question. As both Mike and I said, we reset our Medicare margin to 5% every year. And then as Mike pointed out, we use, when we do better than that and the organization works very hard all year to improve on that, and again give better outcomes at lower costs to our members. But as we improve on that, then when we go to next year, we take that and put that back into the benefits and premiums, particularly in light of what's happened in the last couple of years with respect to reimbursements. So that's made us very competitive. And then also, on the idea of the -- just to get to the other part of your question, the Commercial side, as you know, this is the year where the 80% minimum MLR kicks in for small group and individual. So basically, the only real improvement we get to show there comes from the larger groups. So those are the two things that sort of help us, but also, really, you don't really get to start all over again where you left off the prior year.
Joshua Raskin - Barclays Capital: I guess, Jim, on the Medicare margin, I understand you guys put your bids in eight, nine months ago, I guess the first week in June, so if you're seeing better improvement in the fourth quarter, are you saying you're going to augment benefit in 2011 as we go? You can still do that now, is that the idea?
James Bloem: No, it just had to do with, again, when we do it back in June, again, looking at where we were for 2010, with an economic 10% problem of basically a 5% rate cut and a 5% trend and having the legislation having froze the solid increases, that we priced according to that 5% margin and then we did better. And so now as we get into '11, we've got a competitive price offering. And as the year goes by, we'll continue to look at and report what happens to us vis-a-vis that target 5% operating margin.
Michael McCallister: I think this is one month into the year and as we see claim payments and other clinical measures support what we saw in the fourth quarter, then we would obviously anticipate it and record it at that time. But we're going to wait until we see the favorable claim payments play themselves out a little bit further into 2011.
Joshua Raskin - Barclays Capital: But any expectations for the 45-day notice next week? Where do you guys think 2012 reimbursement will start at?
Michael McCallister: Well, we've seen a couple of write-ups by folks on the phone that would suggest that the range is somewhere between a negative two and a positive 1.5. And as we look through those documents, I can't find anything that I would take umbrage with. I think that, that would probably be a reasonable guesstimate as to where that will turn out.
Joshua Raskin - Barclays Capital: And do you think the RADV stuff gets included?
Michael McCallister: No, I don't believe so.
Operator: Your next question comes from the line of John Rex with JPMorgan.
John Rex - JP Morgan Chase & Co: Over the course of the reporting period, a few of the companies have noted they've made some -- as it relates to RADV, some accruals for repayment during the 4Q. So I think you guys have earlier on said you don't view it as estimable right now, so you wouldn't be doing that. Was there anything in your 4Q?
Michael McCallister: This is Mike. No, we have nothing in there for that.
John Rex - JP Morgan Chase & Co: So until you get a methodology, I suppose your point of view would be you couldn't put down accrual?
Michael McCallister: I don't know how you could, frankly. I think we're far from understanding where this methodology is going to come out. And CMS' note last week confirms the fact that it's a work underway. So until we know specifics of how it's going to work, it's not appropriate to be setting aside reserves.
John Rex - JP Morgan Chase & Co: And then can you talk through the gross adds and losses in the Medicare Advantage book?
James Murray: Sure, this is Jim Murray. Just a few points. We sold a total of about 500,000 gross sales which includes plan-to-plan changes, so our market point organization, led by Patrick O'Toole, did an incredible job in a short period of time, where you just strip out the plan-to-plan changes of around 200,000, you would come up with net sales of around 290,000 which was an incredibly good result against what we thought was going to be around 270,000. So we exceeded our sales targets by around 20,000. In addition to the sales results, we also enjoyed some good retention. We had terminations of around 163,000 net against the target of around 210,000. So about 50,000 or 47,000 favorable retention against our goals. Some of that came from what we referred to as true terminations and some against the better job we did on selling members that we reported to you prior that were in exit, Private Fee-for-Service exit space. We did a much better job of selling those folks. The other thing that I would point out is that, that 200,000 plan-to-plan sales that we made, 80,000 were in the 115,000 that we reported to you that we would have to resell which was a really good result. And in addition to that, about 120,000 were from convergence into network-based options, further demonstrating the point that we've been talking about for a long time, that people are more willing to buy network plans than had been thought of in the past. So we feel very, very good about what's happened in this AEP and we look forward to 2011.
John Rex - JP Morgan Chase & Co: And just on the last point that you had answered previously, just on the 45-day notice, so x the 45-day notice, have you estimated the impacts in '12 just from the transition to the new reform rules? So as you start phasing those in, what kind of increment you'd expect on that?
James Murray: This is Jim Murray again. Included in the 1.5 to negative two that we talked about earlier, there were some guesstimates as to what the implications would be for the health reform phase-in. And so if you use that as a starting point, and I'm just going to talk from 100,000 feet, let's pretend the range is a negative two to a positive two, so that's the money we would receive from the government, what's not included is our MRA work that we do and we talk about with you regularly. Some of the reports that we've read anticipate that there's a negative two in that range that I talked about earlier related to risk factor changes. So if you assume that our MRA work offsets that, which we've said for a long time that that's a zero-sum game, so minus two to a positive two, then you would add 2 percentage points for MRA. And then we talked with you for a long time about the 15 percent Solution, so let's identify or estimate that anywhere from a 2% to a 4% improvement because of what we call trend vendors that goes to support that 15 percent Solution. And then against all of that, you have to step back and think about what trend really is. We believe, and we've told you for a long period of time, that we think trend is anywhere from 4% to 5% year-after-year. So if you take all of those ranges that I've given you, you come up to about a negative two to a positive three. And we feel very good about our ability to manage within that kind of an environment, to continue to provide an economic benefit to the members that we serve and feel very good about our prospects for our 2012 bid season.
Michael McCallister: Let me just add to that, John. We've talked about this, and I'm not sure how much credibility you all give it, but this idea of getting better value for money and better clinical results is actually a very big deal on all this because you've heard me say for the last decade what a mess the traditional Medicare program is and how uncoordinated it is and what an opportunity there is to clean all that up, get better treatment for people, get it better organized and get better costs, that's what keeps us really in a nice position. This is not just a pure insurance sort of model here. This is all about health care, clinical organization and clinical integration in improving productivity. And across every metric we measure relative to our membership, from the sickest to the walking healthy, things are continuing to get better. And that's really what props up everything here.
Operator: Your next question comes from the line of Justin Lake with UBS.
Justin Lake - UBS Investment Bank: First question, just a follow-up on the RADV commentary, your 10-Q has a great risk statement that gives a lot of clarity on the issues you see with these RADV audits. And specifically, it talks of the potential of not only taking a reserve if and when CMS comes out with a final methodology, but also talks to the potential for accruing or changing the way you accrue for risk scores in the current year, depending on how the methodology comes out. Can you talk to us about how that, from an accounting standpoint, would work and what are the two or three factors we should be focused on as far as that methodology, as to whether you would need to change your accruals and potentially change your revenue recognition for this in the current year, not just taking a reserve for 2007?
James Bloem: Well, I think that the primarily thing -- and again, we appreciate your reference to the risk factor, because it's been out there for a long time and we think that it adequately describes where we are right now. But with respect to the methodology itself, we believe that the methodology is incorrect and flawed and actuarially invalid. So until that situation changes, to me, there would not be a reason to accrue, and Mike made that comment just a few minutes ago. And I think that's the principal reason why it's inappropriate at this time. In addition, CMS put out the notice that we've all referenced, that they're looking at this carefully and they’re understanding better now what the comments are, so we'll wait to see what that is. But in the meantime, we think that the risk factor disclosure that we've made that you've referenced is very important for everybody to understand, and that this is a very important issue for our industry. And so as we move forward, we'll take a look at the facts and circumstances as they develop to decide what we're going to do. And one of the other things that you mentioned that's also important is that this is really a revenue-recognition issue, and not so much a contingent liability. And the accounting rules that govern revenue recognition are different than those that surround contingencies and losses. So anyway, I'll stop here.
Justin Lake - UBS Investment Bank: Jim, maybe you can just specifically carve that out for us. I mean, I really wanted to understand the 2011 impact rather than the audit impact on 2007. So CMS comes to you and says, "We want $1 back for 2007 from this risk or audits." Is that going to change the way you accrue for risk or revenue in 2011 as well, meaning you’ll have to lower your revenue guidance for 2011 and increase your MLR?
James Bloem: If ultimately, and I say ultimately, that these matters were definitively to come out the way the original December 21 notice was, then after the final judgment and after the final consideration by everybody, including the agency and the courts and everybody else, then you might get to that situation. But again, we're going to watch this very carefully as it evolves. Right now, we believe we're appropriate. We've discussed it appropriately in the risk factor, and we've appropriately not accrued anything or reduced revenue for 2011 for this.
Michael McCallister: Let me just say this one more time. The proposed methodology they have out there is absolutely actuarially wrong. It is incorrect, and therefore, we're not sitting around here ringing our hands at this point because at the end of the day, we think we end up in a different place.
Justin Lake - UBS Investment Bank: And Jim, just one last point of clarification, if CMS comes out of this methodology and says, "We're not changing it," you wouldn't change your accruals until after it's been bedded by the courts?
James Bloem: Yes, I believe that would be the appropriate thing because then again we would have all of the redressed avenues that we have for the incorrect methodology that Mike just mentioned.
Justin Lake - UBS Investment Bank: And I'll just ask my second question quickly about Medicare Advantage membership. Can you talk about -- this aging into the population is obviously going to be very significant over the next couple of years or the next decade or two, I should say. I'm just trying to understand, the Medicare penetration overall, the 45 million, 46 million that are out there somewhere in the 20% to 25% range, I'm just curious, have you seen or can you talk to what the take-up rate is of the 65-year-old population and they age at each year? Is it materially different than that 20% to 25% of the overall population?
James Murray: This is Jim Murray. I believe that we've done analysis in the past, but I have to go and dust that off that would suggest that when people do turn age 65 here lately, they are at a bigger percentage than the current market shares that we're seeing, and that's because people are more used to a network-based PPO kind of an option, which is what we're providing them. And we're seeing an increase in share as time goes on.
Michael McCallister: I think the other thing to remember is, until recently, there really were not really any national players in this business, so there were huge slots in the United States that had no Medicare Advantage even being offered. So we've got two things going on. People are seeing these products for the first time, as you know, and others are expanding across the country. And then they're having to deal with their experience or lack thereof with network plans and that sort of thing. So whatever the data would tell you today, I'm not sure it says much about the future. I think these plans are going to continue to grow because they do have a very high value proposition.
Operator: Your next question comes from the line of Sarah James from Wedbush.
Sarah James - Wedbush Securities Inc.: My first question was on Concentra. It looked like in the slides that there was a 225 basis point G&A boost from the expenses which works out to be about $832 million on the midpoint of your revenue guidance, and prior guidance was for about $800 million of Concentra revenues. So I was just wondering if there are some onetime G&A pieces in there or non-Concentra items contributing to the 225 basis point move, and then what the long term margin on that business looks like.
James Bloem: Sarah, you pretty well, I think, accurately recapped what it is. You can see that the other revenues' guidance went up by $850 million, and these expenses probably by $825 million. And that $25 million to $27 million difference is the $0.10 EPS that the accretion is based on. When we look at 2011, we were going to have integration expenses. We're looking at different ways, as Mike said, to take what Concentra does and move it from our commercial populations and toward our Medicare and our Humana membership. And so those will be the expenses that sort of weigh down '11 with respect to Concentra. But we're very optimistic over time that this type of business fits both strategically and financially.
Michael McCallister: And all of Concentra's expenses are included in administrative costs, including the physician salaries.
Sarah James - Wedbush Securities Inc.: And then, I guess, on the enrollment guidance, it looks like the January numbers you reported were a little bit above where guidance was. So I was just wondering if there are some factors leading to your conservatism if that guidance could then come up to at least the January numbers or above?
James Murray: This is Jim Murray again. We're currently sitting at around a net 130,000 member increase. And I think we've guided to the midpoint being around 100,000. And we're being prudent. We've looked at some of the members that have stuck with us. They didn't term, and we've looked at some of the premiums that those folks have been delivered. We talked earlier that generally speaking, our premiums that we've delivered across the entire block stayed about the same, and that's one of the reasons why we were successful in this open enrollment period. But certain parts of the United States, certain geographies, did get some premium increases. So we're prudently looking at those geographies and stepping back and wondering whether or not those folks are going to be able to pay those premiums. And as time goes on and we see whether or not they are able to pay those premium increases, that 100,000 could move closer to the 130,000, but time will tell.
Operator: Your next question comes from the line of Charles Boorady from Crédit Suisse.
Charles Boorady - Crédit Suisse AG: On Medicare Advantage enrollment, are you able to tell yet what percent of your gross adds were age-ins versus share gains? And do you have any sense for roughly what percent of the age-ins are moving into Medicare Advantage?
James Bloem: That's difficult to tell with this AEP enrollment gain. What we'll be able to do better is, as the rest of the year plays itself out, we'll see how the age-ins are, as a percentage to the earlier question that was asked. We can't tell whether or not an individual who's joined us at this time was with a plan prior.
Charles Boorady - Crédit Suisse AG: Are you able to know their age, I suppose, to see if they’ve recently turned 65?
James Murray: Sure, we haven't pulled that together yet, but we can pull that together fairly easily.
Charles Boorady - Crédit Suisse AG: On the star ratings, do you have a goal for ultimately reaching four stars or some certain level of stars and over what timeframe? And can you talk about whether your opportunity is really mostly on the clinical side or on the admin side for what you would need to improve to get the higher average star rating?
Michael McCallister: This is Mike. Charles, the goal is pretty straightforward, it's five stars everywhere. Having said that, we have a lot of different product designs, and some are more tightly managed than others. And so we're always going to have varying degrees of performance against this. I think the clinical, you may think counterintuitive, but I think the clinical side may be easier to handle than the other side because the clinical is going to be something we're going to have data on and understand exactly what's happening with these people and an ability through messaging and other techniques to get better quality and hit those stars. The service side to me, frankly, I think they'll eliminate those stars anyway. I think a lot of that stuff is not really powerful in terms of measuring how well this program works. But they are what they are for the time being until changed. We will work to make those better as well. But to the extent you're dependent upon downstream providers for customer service kind of implications, that gets a little trickier. So I think varying performance all over the country, it will depend on the type of structure of the plan. It will depend on the concentration of membership we have. And so we have a lot of moving parts. But you'll see us progressively improve across the entire book of business we have over time. And I think we're going to have our fair share of very highly rated plans overtime.
Charles Boorady - Crédit Suisse AG: Five is a theoretical goal, I understand it, but just to get a rough sense of timeframe, Mike, are you thinking, is it two years, three years, four years to get to four star average? And then how long to get to five?
Michael McCallister: Again, I think the clinical side, we can probably measure and be a little more predictable around. We're not talking a six- or seven-year journey here. There are people who realize they need to be on this. We need to figure out to improve these scores, and we'll move as quick as we can.
Charles Boorady - Crédit Suisse AG: Should we expect to see any special investments, more downstream, risk-sharing or anything else as you strive to achieve that goal?
Michael McCallister: All those things. I mean, we're looking for providers that are interested in working closely, being driven by metrics. Some will want to take some risk-sharing, some will not. It's not critical, they go either way. But the more tightly integrated you have and if they have any kind of risk-sharing relationship with us, they tend to be much more focused on the quality of health care, as well as things like service metrics and those sort of things. So as far as we can move down the path as fast as we can, with any provider that's interested in doing better, seeking better value for money, providing high level of service and participating in the improved payment methodology, the results of all that, we're ready. So we're looking nationwide as we speak right now, and there's a lot of interest out there.
Operator: Your next question comes from the line of Doug Simpson from Morgan Stanley.
Doug Simpson - Morgan Stanley: Just walking through the one G&A slide, just trying to come at this a little bit of a different way, if we think about it being 13.8 in '09 coming down to 13.2 in 2010, and then if you strip out Concentra you're at call it the midpoint 12.5, if we were to look ahead into 2012, just trying to wrap all the comments you've made including potentially the investments to support the star ratings in the MA book, how would you see that sort of core G&A tracking looking out 12 months from now? And then maybe just on the Concentra side, the $225 million you're showing this year, it sounded like there were maybe some onetime types of stuff in there for 2011. So just trying to get at how that progresses this year and what the run rate might look like coming into 2012?
James Bloem: Well, as you've pointed out, we try to divide this into two things, and that's what the slide is trying to get at. What's the core rate, what's the SG&A ratio on the core expenses? And again, we're transforming the company, so we're not only getting more cost competitive, but we're using some of those savings to reinvest in the other things we need for our corporate strategy. So those are the two things we're always looking at. So it makes it hard, kind of, to look at it from the standpoint of what’s it going to be in 2012. I think if you look at the blue bar on those slides, the dark blue portion, you can see that the trend is clearly down. And that's really what we’re about. Now we need to reinvest, we need to get to it, to do the strategy that we talked about. We need to do that reinvesting. As far as Concentra is concerned, we just have acquired that, and we're looking to see all the different things that can be done with that. There will be some investment in there. The investments that we’re going to make in 2011 that cause that sort of $225 million comes from the fact, as was mentioned before, all the Concentra expenses are in there, and we have to do the integration. We really have to bring the two organizations closer together and figure out how we can really get the synergies that we think are available to us through Concentra.
Michael McCallister: I would add that trying to figure out SG&A is going to be a little difficult for you all overtime as our business mix continues shift, and things like Concentra is a good example. But what we know internally here is that admin has to be very, very low in this new MLR world we're going to live in across all these products. So higher productivity internal is what we're focused on, and to the extent the mix changes some, it may be harder for you to see on a consolidated basis. But we are all over the idea that scale matters, our key investments have to be smart and our SG&A internally on our core businesses, has to be very low.
Doug Simpson - Morgan Stanley: Well maybe just some color on the Concentra deal. How you see this fitting in longer term, I guess, on two fronts. One, just in general with provider contracting in the markets, did it have overlap; and secondly, how do you see this positioning you with respect to the quality employers in the 1,000 to 2,000 employee count? How do you envision structuring products leveraging the Concentra assets?
Michael McCallister: There's a number of possibilities. I'll go back to what we said when we bought Concentra. This was about acquiring a platform with good management and a basic position capability to locate offices, staff them, build metrics about performance, hire and recruit and retain and that sort of thing. So you can take our company, you can start looking at all sorts of spots where the ability to do that will be meaningful, but it's important to know that it’s going to vary dramatically by location. In some cases, we may only have a few of these. In some cases, they may be concentrated. In some cases, they may be the core of an insurance product. In some cases, they may strictly be a relationship with employers across wellness and well-being and this sort of thing, work site clinics. So we look at the company from a number of perspectives, and we think strategically, it fits into a lot of little corners of what we do. We like the idea of having them be the key component in our Medicare strategy long term because the primary care piece is critical in Medicare. And I think we’ve got a situation here where we have the capability to really have a tool that can be used in a lot of different ways. So it's not a simplistic view of it. In the meantime, it's a well-run company that's contributing to our EPS.
Operator: Your next question comes from the line of Tom Carroll from Stifel, Nicolaus.
Thomas Carroll: Just to follow back up on some of the enrollment numbers that we talked about. It's really two things. I guess, first of all, what kind of dis-enrollment are you expecting? And I think it goes back to Sarah's question on your increased year-to-date on MA versus your guidance. So there's a 30,000 roughly person difference there. I guess, does this mean you expect 30,000 folks to dis-enroll? And what kind of dis-enrollment behavior have you seen year-to-date?
James Murray: This is Jim Murray again. The 30,000 that we referenced earlier was our stepping back, looking at what happened during the AEP and the pockets of members that stuck with us and the premium levels that we delivered to them and us stepping back and saying, "Is it likely for these folks to continue to pay these premiums and what would prudence tell you in terms of establishing a target?" And that delta was the 30,000 that we've come up with to the extent that as we go throughout the course of the year, those folks are paying the premiums that were a part of their planned benefits for 2011. If possible that, that 100,000 midpoint would go closer to the 130,000. For the remainder of this year, except for that, we would hope that our age-in opportunities would offset the terminations that occur as folks die and choose to leave the program. So we would think, other than that 30,000, that we would be generally flat for the remainder of the year and. And as I've said in my earlier remarks, we were very, very pleased with our persistency that we saw during the AEP. We did a lot of work to message folks in terms of those that were getting premium increases, any kind of benefit changes, messaging them about the possibility that we wanted to move them from a Private Fee-for-Service offering to a network-based option. Lots of connections, lots of relationships and we were pleased with how we ended up in terms of keeping significantly more members than we had anticipated.
Thomas Carroll: Second question, do you have a sense of maybe how much did your Wal-Mart arrangement contribute to your strong MA gains this year? So in terms of people having conversations about the Part D product, how much of that do you get a sense of translated into full-blown MA sales?
James Murray: We haven't connected the dots exactly, but I will tell you the opportunity to be in 3,000 Wal-Mart locations throughout the United States and having an opportunity to talk with seniors in terms of their needs and talk to them about not only the Wal-Mart Plan but also whether or not there's other kinds of products that would better suit their needs likely contributed nicely to the improved enrollment that we experienced. There's probably a really direct correlation to that, and we really enjoy the relationship that we developed with Wal-Mart. We look to do more with them in the future.
Thomas Carroll: Will you be sitting down with Wal-Mart to do kind of a debrief on how things went this year?
James Murray: Not only on how the Prescription Drug Plan work, but there are a lot of other good ideas that they and us are developing as a partnership.
Operator: Your next question comes from the line of Christine Arnold from Cowen and Company.
Christine Arnold - Cowen and Company, LLC: I just wanted to probe your guidance a little bit with respect to the Medicare book. You're saying that your guidance incorporates the 5% Medicare margin, true?
James Bloem: True.
Christine Arnold - Cowen and Company, LLC: Okay. And you did better than that in 2010? True?
James Bloem: True, and '09.
Christine Arnold - Cowen and Company, LLC: So I guess, what I'm getting at here is, you've historically taken that which you've done better and tried to incorporate it in benefits and premiums, and that you've still done better. Can you tell me in 2010 if my 83 8 Medicare MLR is reasonable?
James Bloem: Again, I think you have the basic thing because, as Jim mentioned, we've done it year-over-year. We start with five and then we work very hard as an organization to improve, and we've been successful in doing that the last few years. But we still end up with having to start all over again. Now what else is to do then, as Mike and as we've said on Investor Day, and really all through the last three or four years, the 15 percent Solution is the reason that enabled us –- that’s one of the primary reasons that enables us to do that, because we continued to deliver better outcomes at lower costs to those who are the most productly ill and have the greatest morbidities among our memberships. So that's the primary reason that we're able to go. When we get to this time of year, as Jim mentioned earlier, too, with only six weeks gone in the year, it's hard to really say, "Well now, it's time to raise that up." We wait until we see that, and then we say, "This is where we are, and this is the pattern that we've done every year."
Michael McCallister: Let me add to that. We're heading to an 85% MLR world in Medicare. And when you're there, the way you win and the way you grow and the way you have better value for people in the program is through cost management and low admin. And you plow up your margin above five back into those things every year, and this is going to be a top line growth story for a very long time for Humana. And I think the winners are going to be those who get better value for money and turn right around and give it back, and we're positioned pretty well in an 85% MLR world. We don't have to go much further than where we are right now to be there.
Christine Arnold - Cowen and Company, LLC: And my ballpark where you did about 100 basis points better than the 5%, and that's what you're plowing into benefits and premiums?
Michael McCallister: The math is simple. We ran something just north of six and we move it back to five, and as I said from the beginning, we have no intention of running five in 2011, but that's the math as we sit here, and so we're working very hard today with everything I've talked about from a clinical perspective to get better value, more productivity and whatever that works out for '11, so be it, we'll plow that back in '12 and grow the top line again.
Operator: Your next question comes from the line of Chris Rigg from Susquehanna.
Christian Rigg - Susquehanna Financial Group, LLLP: I was wondering if you could give us an update on the longer-term status of the TRICARE contract and where that process stands at this point.
James Bloem: The government has come back to us and negotiated two six-month extensions. We wish we knew more about when they're going to make their final decision. The folks in the TRICARE organization tell me that the government could take as long as up to May before there's an issue with the terms of the timing. We're hopeful that smarter heads prevail and we are successfully put back into the program. But time will tell, and I can't tell you much more than that. It's frustrating, but that's all we know.
Christian Rigg - Susquehanna Financial Group, LLLP: If you could help me better understand what determines the contribution to The Humana Foundation? And then on the top of that, was there anything in the Wal-Mart expenses in the fourth quarter that would be ongoing rather than nonrecurring? And I'll leave it at that.
Michael McCallister: This is Mike McCallister. On the foundation, we try every year to put something in there as part of our overall social responsibility agenda. In five of the last 10 years, we didn't put anything in. In the other five, we put something in. So what you're looking at is a bit of a catch-up overtime, and we think it's a key component of what we do as a company, and we want to be good assistance everywhere we do business. And we do that both directly from the company as well as through the foundation. So you're seeing a number that's a bit of a catch-up over basically a decade.
James Murray: Your Wal-Mart question, there was some amount of continuing cost related to telesales operation and advertising programs that we thought would be similar year-over-year. The amount that Jim highlighted in his remarks is totally related to the incremental costs that we don't think will return next year.
Operator: Your next question comes from the line of Ana Gupte from Sanford Bernstein.
Ana Gupte - Bernstein Research: On the Part D book, and you've enrolled 500,000-plus members. As you're looking at the health profile of these people across low-income, subsidy retail enrolled in Wal-Mart or otherwise, are you seeing anything that gives you pause relative to your expectations actuarially from early claims experience? And is there any possible upside and/or downside to your margins with this new preliminary design?
James Murray: This Jim Murray. I expected this question. We’ve looked at risk scores and they're very good. We've looked at scripts PMPM [per member per month], they look good. We've looked at generic dispensing rate, it looks good. We've looked at member risk share, we had that problem a couple of years ago that I won’t ever bring up again on member risk share, that looks good. Mail utilization, that's one of the reasons why we wanted to do this program, RightSource and the mail, that we could do as a result of this program, that looks strong and the allowed costs look very good. So we're very, very pleased with the way the Wal-Mart Plan looks in its first six weeks.
Ana Gupte - Bernstein Research: So it looks like more upside than downside than anything. So then on Medicare Advantage, you mentioned that your group has done pretty well. Is this a shared margin with CIGNA for 2011?
James Bloem: No, we didn’t say that. We didn't have any significant group sales, we were reported. We're not expecting things to come out of our CIGNA relationship probably until next year.
Ana Gupte - Bernstein Research: Switching gears, I was looking through the components on MA rates going forward 2012 and beyond. There was a letter from MedPAC to, I believe, to Donald Berwick on the $1.3 billion demo project and how that was not budgeted for. So as you're having conversations and consulting with them, do you see that piece at risk, and are you including that potential in the 2012 rate?
Michael McCallister: I think that it's included in there in that range that Jim mentioned from minus two to plus two. It's one of those myriad of factors that really kind of goes into what they believe the trend piece is. But again, I think it's a relatively small piece of that. But again, we'll wait and see when it comes out in terms of what the final is. We want to make sure that we're talking about the preliminary rate booked here. And as every year, we have our own bid ask as to what's going to be in there. But again, we still have the days afterwards to think about it and to comment on it. And then when it becomes final in April, than we go to work. So it’s still a long ways away in terms of whatever these numbers turn out to be.
Operator: Next question comes from the line of Scott Fidel from Deutsche Bank.
Scott Fidel - Deutsche Bank AG: My question is just relative to the commercial MLR guidance. It looked like that ticked up by around 50 basis points from the guidance you had issued in November at the Investor Day. But it doesn't sound like you've changed any reviews on mid-cost trends, so maybe if you could just talk to the change in the in the commercial MLR guidance.
James Bloem: Again, I think what we've looked at is, the large group piece, because remember we have the 80% in our small group and our individual, and those are a large part. And we've also signaled that in the large group piece, there's a smaller number of members. As we approached the 80%, and so we've ticked up by 50 basis points, as you point out from when we did it last time. So again, it's all a matter of the mix. We want to tell you that we've given some weight to the low trend we had last year, and how it's going to affect this year. But again, that basically follows mostly to the large group. And that's why it's a $0.10 piece.
Operator: Next question comes from the line of Kevin Fishbeck from Bank of America.
Kevin Fischbeck - BofA Merrill Lynch: I was wondering if you could maybe help provide a cash flow bridge to the parent for 2011, if you didn't do any buyback acquisitions, where do you think the cash balance might end at the year end?
James Bloem: Generally, we'd give a very strong indication of that in our second quarter call, which should be in August. And that would be after we've visited all of the states, extracted dividends in conjunction with consultations with them and also visited the credit rating agencies. I would say this qualitatively, we had an excellent year this year, as we've talked about all morning. And so we would expect the dividends to be higher than the $750 million we took last year.
Operator: Next question comes from the line of David Windley from Jefferies.
David Windley - Jefferies & Company, Inc.: On the SG&A ratio, it looks like x the Concentra, that is down, I think, 50 basis points. And I was wondering if I'm looking at that apples-to-apples and what the drivers were of that.
James Bloem: Again, you are looking at it apples-to-apples. And again, the 50 basis points, again, looks that as we crossed over the threshold from November 18, went over year-end, we now have all our budgets in place. That's where the 50 basis points is.
Operator: The next question comes from the line of Carl McDonald from Citigroup.
Carl McDonald - Citigroup Inc: I recognize we're only a few weeks into the year, anything you can point to at this point that would suggest that cost trends are accelerating relative to trends on 2010?
James Murray: This Jim Murray. It's very early in the year. So it's very difficult to make any predictions based upon the claim payments that we've seen, nothing significantly favorable or significantly negative.
Operator: Your last question comes from the line of Peter Costa with Wells Fargo Securities.
Peter Costa - Wells Fargo Securities, LLC: I'd wanted to take another shot at that question of converting to the PPACA [Patient Protection and Affordable Care Act] rates. What portion -- maybe you can answer a couple of specific components of it, what portion of your business will be under a two-year conversion as opposed to a longer conversion? And then secondly, what portion or what percentage difference would there be between the PPACA rate and your bid plus rebate payment that you got in 2010, if that was to convert 100%?
James Murray: I can answer the second question, I'm not sure what the second question was specifically. The year phase-in is two years is 34%, four years is 39%, and six years is 27%. I need help with some acronyms and specifically what you're asking with your second question.
Peter Costa - Wells Fargo Securities, LLC: The rate under PPACA that has the variation from 95% of Fee-for-Service to 115%. If you take the average for your book of business as to what that rate would be compared to what you were paid on an average payment from the government in terms of not the benchmark but what your payment was in 2010?
Regina Nethery: So the old payment versus Fee-for-Service versus what we think the new payment versus Fee-for-Service would be, post-health insurance reform?
Peter Costa - Wells Fargo Securities, LLC: Yes, if you had 100% of your business converted.
Regina Nethery: Peter, this is Regina. I take it you're asking about where MedPAC, I believe it has a study that says, for instance, in 2010, assuming the doc-fix [document fix] had happened, we were like 113% of Fee-for-Service, if they’d done the doc-fix properly, we would have been 107%?
Peter Costa - Wells Fargo Securities, LLC: Correct.
James Bloem: I can just talk about my broad feelings as respect to any kind of what's referred to as an overpayment. When a lot of folks were here for Investor Day, we shared with you a slide that demonstrated that trends, as they restate over time, typically run in the 4% to 7% range. So I'll use 5%. And as many of you know, over the last two or so years, we've gotten either a flat or a negative trend estimate. And so if it were me, I would say that those were reductions from the theoretical overpayment, and then when you layer in the doc-fix, which I've been told is valued somewhere around 4%, when you put all those pieces together, I would proffer, but this is me, that we are nowhere near being overpaid the amount that we're hearing that there's an overpayment out there. And so over time, it's our strong belief that as trends restate to their proper levels, that, that will self-correct itself as time goes on, and that it's been very good management for us to get through the last several years, not getting the trend increases that were appropriate. And so I think we're really close to the 100% of Medicare Fee-for-Service that is designed by the health care reform.
Regina Nethery: But, I think that that's as clear as we can get for you today, Peter. Go ahead, Mike.
Michael McCallister: Okay, let me just close. Thanks for joining us this morning. We had a good quarter, and we're pretty excited about where we are for 2011, especially relative to our Medicare results on AEP. So we're positioned well, we're happy with that. I want to thank the Humana associates who are in the call for making this all possible. And with that, we'll say goodbye.
Regina Nethery: Have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.